Executives: Howard S. Frank - Vice Chairman, Chief Operating Officer and Member of Executive Committee David Bernstein - Chief Financial Officer and Senior Vice President Micky M. Arison - Chairman, Chief Executive Officer, Chairman of Executive Committee, Chairman of Carnival Plc and Chief Executive Officer of Carnival Plc Beth Roberts - Vice President of Investor Relations
Analysts: Felicia R. Hendrix - Barclays Capital, Research Division Harry C. Curtis - Nomura Securities Co. Ltd., Research Division Brad J. Boyer - Stifel, Nicolaus & Co., Inc., Research Division Gregory R. Badishkanian - Citigroup Inc, Research Division Timothy A. Conder - Wells Fargo Securities, LLC, Research Division Robin M. Farley - UBS Investment Bank, Research Division Alexia Dogani - Liberum Capital Limited, Research Division Lena Thakkar - HSBC, Research Division Jaime M. Katz - Morningstar Inc., Research Division James Hardiman - Longbow Research LLC Assia Georgieva Jamie Rollo - Morgan Stanley, Research Division James Hollins - Investec Securities (UK), Research Division
Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Carnival First Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded Friday, March 15, 2013. I would now like to turn the conference over to Howard Frank, Vice Chairman and Chief Operating Officer. Please go ahead, sir.
Howard S. Frank: Thank you, Suzie. Good morning, everyone. First, apologies for the short notice on this call. We did -- I think in light of recent ship incident events, we wanted to connect up to our investment -- the investment community as soon as possible. So we put out the press release and we announced the call rather quickly, and we wanted to get the information out there and to make sure everybody's up to date on the impact, the potential impact of these events on our business. With me this morning is Micky Arison, our Chairman and Chief Executive Officer; David Bernstein, our Senior Vice President of Finance and Chief Financial Officer; and Beth Roberts, our Vice President of Investor Relations, along with me. And to start off the call, I'll have David take you through the first quarter, and then he'll send it back to me and I'll have some comments on the outlook for 2013 and also make a few comments about the recent ship incidents. David?
David Bernstein: Thank you, Howard. Before I begin, please note that some of our remarks on this conference call will be forward looking. I will refer you to the cautionary statements in today's press release. Also, all of my references to revenue and cost metrics will be in local currencies unless otherwise noted, as this is a much more useful measure of business trends. Our non-GAAP EPS for the first quarter was $0.08 per share. The first quarter came in $0.03 above the midpoint of our December guidance despite a $0.02 impact from voyage disruptions and related repair costs, which Howard will discuss later in his comments. The improvement was primarily driven by lower net cruise costs without fuel, worth $0.04 a share, as a result of the timing for certain expenses primarily between the first and second quarter. Now let's take a look at the first quarter operating results versus the prior year. Our capacity increased 3.9%. The North American brands were up 3.1%, while the Europe, Australia and Asia brands or, as we call them, our EAA brands, were up 5.1% driven by a 17% increase in AIDA. Our total net revenue yields in the first quarter declined 2.3% from last year's strong pre-Concordia yields that were up almost 3%. Now let's take a look at the 2 components of net revenue yields. Our net ticket yields declined 3.3%. Our EAA brands were down 5.8% driven by declines in European, South American itineraries that were partially offset by increases in Caribbean itineraries. The North American brands were down only 1.5%, with 2/3 of their capacity in the Caribbean during the first quarter. For net onboard and other yields, the increase was 1%, with increases in the North American brands that were partially offset by declines in the EAA brands, driven by Costa. On the cost side, net cruise costs per available lower berth day, excluding fuel, were down 3% versus the prior year. The decline was more than we expected in our December guidance. As I have said in the past, it's difficult to estimate the timing of many of the expenses by quarter. And therefore, the best measure of net cruise cost performance is on an annual basis. As a result of our ongoing efforts to reduce fuel usage, our consumption for ALBD declined almost 5% this quarter, consistent with our full year guidance. Something I don't often get to say, fuel prices this quarter were down over 4% versus the prior year, which saved us $0.03 per share. In summary, the first quarter non-GAAP EPS was $0.06 higher than 2012 earnings of $0.02 per share. This was driven by lower net cruise costs, partially offset by lower net revenue yields. Now turning to our 2013 outlook. I will skip net revenue yields, as Howard will discuss that shortly. For the full year, net cruise costs, excluding fuel, per ALBD are forecasted to be up 2.5% to 3.5% versus the prior year. This is about 1 percentage point higher than our December guidance, driven by the voyage disruptions and related repair costs, as well as additional expenses related to certain vessel enhancements to the remainder of the fleet that Howard will expand upon. At this point, I will turn the call back over to Howard.
Howard S. Frank: Thank you, David. I will have comments later in my talk about the Triumph incident. But let me first start by bringing you up-to-date on wave bookings. This is based on the 9 weeks of booking activity from the 6th of January through March 10, the latest booking data we have. On a fleet-wide basis, bookings during the wave period have been running well ahead of last year, and this includes Costa's bookings, which are also significantly higher year-over-year. But even taking Costa's bookings out of the data, bookings for the rest of the fleet have still been running well ahead year-on-year. Fleet-wide pricing on wave bookings is slightly ahead year-over-year, with and without Costa in the mix. Breaking this down by major markets, North America bookings have been running higher during this period with slightly higher pricing. EAA bookings are substantially higher, with or without Costa in the mix, at slightly lower pricing. While the significantly higher EAA booking volumes are very encouraging, as I will comment on later, with the exception of Costa, we are still well behind in EAA bookings for the remainder of the year at the present time. We have also gathered booking data since the Triumph incident, which covers the last 3 weeks through March 10. On a fleet-wide basis, taking Carnival Cruise Lines out of the mix, which I will comment on separately, booking volumes have continued to run significantly higher year-over-year. North America brand booking volumes continued to run higher, although lower than for the period prior to the Triumph incident, with pricing higher year-over-year. EAA booking volumes continue to be very strong year-over-year, with pricing running higher during this 3-week period. Please keep in mind that we consider this latest 3 weeks of booking data as anecdotal, but we've decided to provide the information in anticipation of questions about booking trends after the incident. For the Carnival Cruise Lines brand, booking volumes and pricing for the period of the wave prior to the incident were running nicely higher year-over-year. However, our booking volumes for the 3-week period after the event were lower. However, with Carnival's introduction of new marketing promotions in recent weeks, the market has responded positively and booking volumes have significantly recovered. We expect Carnival's bookings to continue to improve and normalize over the next several weeks. It's difficult to estimate the impact that the recent Carnival Dream event will have on bookings. Normally, a short or intermittent power outage in port would not have received media attention. However, given the media coverage of the event, it may have some effect on bookings, and we have factored that into our revenue yield and earnings guidance. Based on the foregoing trends in the booking patterns, we have lowered constant currency revenue yield estimates for the remainder -- or for the year by 1.5%. As indicated in the press release, first quarter yields came in as expected. For the remainder of the year, continued softness in European brand pricing is driving some of the forecasted lower revenue yield outlook. Other contributing factors include slightly lower revenue yields for the Carnival Cruise Lines brand resulting from current and anticipated price promotions. We have also reduced forecasted fleet-wide onboard revenue for the remainder of the year. Turning to the current booking status for the remaining 3 quarters on a fleet-wide basis. Bookings are behind last year at slightly lower pricing. North American brands bookings are behind at slightly higher pricing. For EAA brands, bookings are behind at lower pricing. On a quarter-by-quarter basis, the trends are also quite similar, so you won't see much difference if we provided -- if we broke down this information by the second, third and fourth quarter, which we will not do on this call. Breaking this down by major programs. For North American brands, pricing for Caribbean and Alaska programs is slightly higher year-over-year on lower occupancies. Pricing for North America premium brand, the European cruises, is higher at slightly higher year-over-year occupancies. For EAA brands, the European cruises, which are the great majority of their itineraries for the next 3 quarters, pricing and occupancies are lower year-over-year. It's clear that continued softness in European economies and lower consumer confidence throughout Europe is the primary contributor to the closer-in booking pattern and lower prices we are experiencing. However, as previously said, we are experiencing a significant uptick in European brand bookings, which is a very encouraging sign. Based on our latest forecast, on a fleet-wide basis, we are expecting revenue yields in the second quarter to be down slightly and for the second half of the year to be slightly higher. Full year earnings guidance has been revised to a range of $1.80 to $2.10 per share or a midpoint of $1.95. The $0.35 per share reduction from our original December guidance is comprised of $0.10 of costs for the Triumph incident, including repair costs and estimated revenue loss from canceled sailings. Reduced fleet-wide ticket forecast for the remaining 3 quarters contributed $0.14 of the decline, approximately half of the revenue yield reductions for Europe brands and half for North American brands, including Carnival. We've also reduced our onboard revenue yield forecast by $0.06, and we have added $0.05 per share for costs associated with modifications to ships this year to enhance ship operating system redundancies and improve emergency power. We also expect this work to continue on the fleet through 2014. A few comments about the Carnival Triumph incident that I want to make. Although there are many lessons to be learned from the incident, it is important to understand that our fire suppression systems did work and our crew did a superb job. The ship systems and crew were able to quickly respond to the fire and extinguish it, so there were no injuries to either passengers or crew. Although our emergency generator power was not adequate to provide effective passenger comfort, the emergency systems we had on board are in accordance with and, in fact, go beyond the latest regulatory guidelines. But having said that, we will make the changes necessary to provide even greater redundancies to our shipboard systems and, in the event of a loss of power, to increase the emergency generator power to provide a more effective level of comfort to the passengers and crew on the ship. An assessment of shipboard redundancies and emergency generator power will be carried out on a corporate-wide basis for our entire fleet. And accordingly, enhancements will be implemented on all ships in the fleet. In this regard, our Corporate Maritime Policy Department, together with the maritime executives at the brands, have already made preliminary assessments of the ships in the fleet, and plans are under way to make the appropriate modifications. This project, of course, will take some time to complete. But I want to assure you that we will address these issues as quickly as feasibly possible. Having said all this, I want to emphatically state that all the ships in our fleet are safe, and the work we are planning will add further enhancements to the safety systems already in place. Given all the misconceptions about the causes of the Triumph incident, let me make it perfectly clear. Our ships are built not just in compliance with regulations, whether IMO, whatever [ph] classification society, but, in many instances, go beyond regulatory requirements. Our corporate and brand management teams will continue to focus on ship safety as their first priority. And with that, Suzie, I'm going to turn it back to you to take questions, so we get some -- take some questions from the listeners.
Operator: [Operator Instructions] Our first question, coming from the line of Felicia Hendrix with Barclays Capital.
Felicia R. Hendrix - Barclays Capital, Research Division: You did mention that your guidance does anticipate some impact from the Dream, but I wanted to talk more about just specific costs that you might have. You kind of just walked us through the detail behind your earnings. I'm just wondering specifically, is there anything in there for -- the Dream is going to be out of service a little bit. Anything in there? Today, there was the incident with the Legend. And then also, given these 3 events in such a short time period, just wondering what the cost -- incremental cost impact might be from your marketing and your promotional activities and, more broadly, how we should think about your marketing budget over the next 12 months.
Howard S. Frank: You want to take the costs?
David Bernstein: Well, the -- I'll take the first part in the costs on the Dream and also the Carnival Legend. We have factored in the costs of the Dream being out of service. They did refund a portion of this cruise, and they also canceled one cruise. That is in our numbers. And as far as the Legend is concerned, they're very hopeful that it will sail its normal itinerary at -- on its next itinerary next week. And sales and marketing?
Howard S. Frank: I mean, I think sales and marketing, I don't think we're going to see a huge increment, any significant increment in sales and marketing that will not be usually absorbed in the numbers that we have already budgeted or forecasted for sales and marketing costs in what we gave you. I do think that there will be a price promotions, but -- that we are using as part of the marketing programs. And -- but that has been factored into the revenue yield forecast that we gave you. So we think we've got the expense side of the ledger covered fairly easily right now.
David Bernstein: Right.
Felicia R. Hendrix - Barclays Capital, Research Division: Okay. And for both of you, I guess. Just on maintenance CapEx, I think it's been running around $700 million, $750 million. Is that a number that we should see increase?
David Bernstein: Well, we've said a number of times in the past that, historically, our maintenance CapEx had been in the $400 million, $500 million range and that we were increasing it. It was up more recently, like $600-plus million. And all the forecasts we've been giving you have been $800-plus million. And we were trying to factor in all the refurbishments and all of the things that we need to do to keep the ships up to date, so...
Howard S. Frank: But there will be some incremental capital expenditures as we make these enhancements to the -- whatever enhancements need to be made to the redundancy -- increased redundancy and for the expanded emergency generation power. I don't think we really have our arms around that number yet. That's what we're working on to get. And hopefully, in the next couple of weeks, we'll have a full plan with estimated costs to doing all this work. But I don't see it as being enormous, but it will be some amount of money. And it will be probably incurred in the next -- during the next 2 years, '13 and '14.
Felicia R. Hendrix - Barclays Capital, Research Division: Okay. So just to understand, David, you said the maintenance CapEx has more recently been running around $600 million, but you've been giving us a number around $800 million?
David Bernstein: Yes, $800-plus million has been included in all future CapEx numbers that we've been giving you for probably the past year or so now.
Howard S. Frank: Yes.
Felicia R. Hendrix - Barclays Capital, Research Division: Okay. So is it possible that, that kind of absorbs maybe the incremental costs you might see from refurbishing your fleet, or will it be incremental over that?
David Bernstein: There might -- as Howard indicated, there might be some incremental that we might spend, but it should be manageable.
Howard S. Frank: I know we got a lot of [indiscernible] work, I think. So it should...
David Bernstein: We get [indiscernible].
Howard S. Frank: Most of it, I would imagine...
Micky M. Arison: $800 million number had a lot of cushion in there. So we should be fine, yes.
Howard S. Frank: Yes.
Operator: Our next question, coming from the line of Harry Curtis with Nomura Securities.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: Of the $800 million that you mentioned, how much of that is pure refurbishment or pure maintenance CapEx versus sort of incremental refurbishment? What I'm trying to get at is, in other industries that we look at, we look at maintenance CapEx as a percentage of revenues to capture kind of the utilization. And given your high occupancy, you're pushing these assets really hard. And so what I'm trying to get at is, as a percentage of revenues, are you spending as much on these ships as you did 10 years ago?
Micky M. Arison: Yes, we were spending more.
David Bernstein: Yes. As Micky's saying, we're clearly spending more. But it's hard to look as a percentage of revenue. Unfortunately, our yields are down since 2008. But overall, on a per berth basis, we recognize that the fleet has gotten a little bit older than it was 10 or 15 years ago, and we are spending more to properly maintain it. We don't have the details split between refurbishment and other types of maintenance. We -- these are very high-level numbers that we've worked with our various operating companies to put together. And each year, we put together very detailed plans, so...
Howard S. Frank: I mean, much of the maintenance cost is period expensed, even in the dry docks, so we don't capitalize that. We only capitalize improvements that we make to the ship as part of a dry dock. I don't -- I think most of it is all these other items. But the maintenance work is an expense item.
Micky M. Arison: Yes, we don't even capitalize the dry dock. We...
Howard S. Frank: No.
Micky M. Arison: That's -- it's all expensed.
Howard S. Frank: Yes. So that answers your question. [Indiscernible].
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: And the...
Howard S. Frank: Yes, sorry.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: Well, the follow-up is if you could give us some sense of how many more days in dry dock you built into your forecast this year and next. And how does that compare to the last 2 to 3 years?
David Bernstein: Hang on one second.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: Okay.
Howard S. Frank: Yes, whatever you have...
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: I guess where I'm going with this is...
David Bernstein: Yes. No...
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: Where I'm going with this...
David Bernstein: Yes, but current...
Howard S. Frank: Okay, but you're talking about incremental dry docks as a result of the additional work? Or is this planned dry docks that we already have in place?
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: What I'm trying to get at is planned dry docks, how that's likely to grow in 2013 and 2014.
David Bernstein: Yes. We don't -- we haven't -- we don't have the '14 and beyond schedule here. The dry dock days between '13 -- '12 and '13, I mean, our ships go into dry dock on a very routine basis on schedules, either twice every 5 years or once every 3 years. There's different rules we follow. So it's scheduled out, and we'll keep looking at that and taking into consideration the enhancements that Howard had indicated. We'll make changes as necessary. There may be a few additional changes this year, but we don't know for sure yet because, as Howard said, we're not done with the overall plans.
Howard S. Frank: See, a lot of this additional work that we will carry out will depend on a number of factors that we don't necessarily have control of, including the availability of dry dock space in the various dry docks around the world and the logistics of, if equipment and -- needs to be made -- new equipment needs to be made, the manufacturer of that equipment as well as the installation of that equipment by the teams that do this sort of stuff. So -- and we still don't have a full story on that. So we'll -- as soon as we get it, we'll probably start -- we'll start to share that with people, and we don't have our arms around it yet.
Micky M. Arison: And at this stage, we don't even know what work can be done in service versus what needs to be dry docked. I mean, it's just too early.
Howard S. Frank: Yes.
David Bernstein: To give you an idea, in 2013, we had 425 dry dock days planned in our overall guidance.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: Okay. So I guess the last question is based on your maintenance CapEx estimate, what you've built in for dry dock, you're pretty comfortable that there's plenty of room there for whatever else may happen to your fleet?
Howard S. Frank: Actually, what I said is that we -- as soon as we get -- when we get to put the plan in -- the fleet-wide plan into effect, we'll have a better handle on what that amount is and know to what extent we've covered that in the $800 million.
David Bernstein: And one -- and the $0.05 that Howard mentioned, the vessel enhancements, that -- we did our best to represent on a very preliminary basis what we think it could be for 2013. But it is very preliminary.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: Okay, I'll wait.
Howard S. Frank: While I've got you on the call here, let me just say for future questions, can we limit it to 2? I know there are a lot of people out there that want to have questions, so let's limit the questions to 2. And at the end, if there are more questions, we can take them. People want to have third questions.
Operator: Our next question, coming from the line of Steve Wieczynski with Stifel.
Brad J. Boyer - Stifel, Nicolaus & Co., Inc., Research Division: This is actually Brad in for Steve. You called out some onboard softness as -- in your revised guidance. I just wanted to see if you were seeing that in any particular areas or if it was sort of widespread across all the onboard categories.
David Bernstein: Well, what we actually said is that we expected -- we still expect onboards to be up this year, just not as much as we had anticipated in the December guidance. We saw the onboards were only up 1% in the first quarter. And so as a result, we just took down the second, third and fourth quarter a little bit from previous guidance. But all the major categories are still expected to be up for the year, just not as much as we had previously anticipated.
Brad J. Boyer - Stifel, Nicolaus & Co., Inc., Research Division: Okay, that's great. And then second one, I couldn't help but notice that the guidance range is still at $0.30, the spread there. Just curious if you can give us some color as to kind of what gets you to $2.10 versus $1.80 and that's it for me.
David Bernstein: Yes, I think it's just a function of the yield guidance primarily. And given the uncertainty -- the economic uncertainty in Europe and all recent events, we thought the $0.30 range was appropriate.
Operator: Our next question, coming from the line of Greg Badishkanian with Citigroup.
Gregory R. Badishkanian - Citigroup Inc, Research Division: My 2 questions are: How aggressive do you think you'll need to be over the next few weeks, the next few months, in terms of pricing to encourage bookings? And have any of your competitors responded so far?
Micky M. Arison: What tends to happen during waves period is everybody is kind of on sale in some form or another to encourage sales during wave. And just like past years, all of our competitors have been on sale, as we have, so it's really hard to tell whether there's a response or not. I would say that we're encouraged that, based on the fact that when Carnival Cruise Line did put price promotions in effect, that the response was good. And I don't have yesterday's data but for the week, this week through Wednesday, Carnival Cruise Line booking levels were actually up 25% versus last year. Now that was in response to a promotion, but we're not anticipating that the promotions will be much deeper than they were last year.
Operator: Our next question, coming from the line of Tim Conder with Wells Fargo Securities.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Howard and everyone, thanks for the color that you can give us on the outlook with the ships, but any quantification at this point, or number of ships that will require major impact? You said you're reviewing the whole fleet. But any color especially in the Carnival and the Costa brands?
Howard S. Frank: I mean, I think, Tim, I prefer to have it all in front of me in a comprehensive way. I'll have a better sense of it. Our sense is that we're going to pull that together in the next couple of weeks, and I'd rather provide it when I know exactly what it's going to be. There are a number different ways also to make the modifications, and it really depends on how they select the modifications to be made on the ships that will determine the costs associated with it. So let's see what they come up with first. I don't want to jump ahead of it. I did mention that the Carnival ship that was affected, the Triumph, there are a number of ships like that in the fleet, and so that will probably be dealt with first. But there may be -- and -- but there may be some other lesser modifications that we may have to make in the rest of the fleet. We'll see how that goes.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay. And then when you have a little bit more color in the next several weeks, do you anticipate doing another update type of call at that point in time?
Beth Roberts: If we have something to say, we'll...
Howard S. Frank: Yes, if we have something -- I think if there's something material to say, we'll say it.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay. Shifting to my -- for my second question, shifting to another question here on Europe. Comparing to your commentary that you gave in December, can you maybe -- can you give us a little bit more color on the U.K., Germany and then Italy and the southern issues, I guess, for the overall continent?
Howard S. Frank: Well, in the U.K. and as well as in Germany, beginning last year, we started to see a fallback in bookings, so that the booking curves started to come closer in. We didn't move pricing all that much, thinking that the bookings would come in later that -- especially bookings that [indiscernible] the spring and summer, early fall. And that's -- and while the bookings have improved in those 2 countries, we're still seeing that. So -- and price -- pricing actions were taken in order to maintain some relative -- full occupancies on the ships. So that caused some of the dislocation. We still see that. But we are -- as I mentioned on the call on my comments, that more recently, we've seen a dramatic catch-up on bookings. Now whether we can catch up fully quickly enough is another question to maintain better pricing as we get closer to the departure -- ship's departure.
Micky M. Arison: I think we did say on a prior call that because of the closer-in booking pattern in Europe, that was making forecasting European yields much more difficult.
Howard S. Frank: Costa's bookings, which is -- primarily covers Italy, France, Germany and Spain, they were more -- their strategy was to get out ahead of this a little bit. And so their occupancies are, more or less, I think in line with the prior year and maybe starting to pull ahead, so that it -- there's a potential that they may be able to start to move pricing up. So they're in a little bit better shape relative to the -- from a booking curve standpoint, relative to the rest of the group. But we're also struggling, to be honest with you, with the uncertainties in Italy right now, which is their major -- most significant market. But the Costa brand, I must say, they haven't lost market share in Italy. They're doing -- they maintained it, maybe even increased market share this past year. So the business is getting back on track. We're very encouraged by what we see from the Costa organization. And certainly, we've seen a significant rise in perceptions about the brand in Italy and Europe, and so we're starting to see a recovery happen. Probably, we'd like to see the recovery happen faster in terms of pricing, and -- but we haven't, and that we'd have -- we will have pricing improvement this year, perhaps not as much as we originally thought, and that's one of the factors that took down some pricing for our European brand forecast on revenue yields for the remainder of the year.
Micky M. Arison: Clearly, the uncertainty is really -- isn't helping. With the situation with the government basically in a stalemate, that's not helping either.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay, great.
David Bernstein: And we had anticipated the tough economic environment in December, but it's just turning out to be a little tougher than we had thought.
Howard S. Frank: And Spain continues to be a challenge. But fortunately for us in Spain, we only have a -- we have a small Spanish cruise line, the Ibero, as you know. And actually, they're going to do better this year, we think, than they did last year. We've got -- so it is a small cruise line, and we're finding ways to source business from countries outside of Spain to help fill the ships. So with Michael Thamm there, he's changed around the sourcing strategies so that we're hopeful that, that will start to change around quickly, the Spanish side.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: So David, your comment that -- Europe tougher than thought collectively or Italy? Was that David that -- the comment that you made there?
David Bernstein: I think it was probably Southern Europe, in general, was tougher than we thought. But I think overall, it was a bit tougher than we thought.
Operator: Our next question, coming from the line of Robin Farley with UBS.
Robin M. Farley - UBS Investment Bank, Research Division: Yes, I just wanted to get a little more color. I know you talked about the change in yield being half due to European demand and half due to the Carnival brand. And so just when you're looking at your yield guidance for the second half of the year, you have that positive. Can you give us a little color on what your assumptions are for -- does the Carnival brand turn positive in the second half of the year? And then also, when you look at Europe, is -- are the European sourcing brands positive in the second half of the year, kind of with, without Costa? Or is the positive in the second half of the year all just the strength of North American brands, outside of the Carnival brand, that is offsetting the declines? So I'm just trying to get a sense of what those pieces look like in the second half.
David Bernstein: Okay. If you...
Howard S. Frank: I don't know what David's about to say, but I hesitate to get into a brand-by-brand discussion of yields. I mean, clearly, Costa, we see Costa as having a positive year-over-year yield improvement and the rest of the European brands having lower year-over-year improvement, lower year-over-year yields.
David Bernstein: Yes, the yields for the back half in total are within our guidance, are expected to be up. We are expecting to see both North America and EAA up, which -- but I will say that -- we have continued to say that EAA, without Costa, is a challenge because of the economic environment, and the EAA yields, without Costa, probably will be down a tad for the back half of the year.
Operator: Our next question, coming from the line of Alexia Dogani with Liberum.
Alexia Dogani - Liberum Capital Limited, Research Division: I just had 2 questions as well. Just firstly then, just the maintenance CapEx spend of the $700 million to $800 million. I mean, I know that question perhaps has been asked, but I want to explore it in a different way. Can you split the spend between the hotel aspects? So how much you invest to bring the product up to the new ship and the core operational elements? And following on from that, the $0.05 of the maintenance cost increase this year, you said this will continue for the next 2 years. So year 3, should we expect that sort of spend to disappear, if you like? And then my second question is whether you can give us a bit of a feel on how emerging markets are performing, and what percent of your capacity is allocated in 2013 and what trends you're seeing there, both from the revenue and the cost side.
Howard S. Frank: That's more than 2 questions, by the way.
Micky M. Arison: I think David said already that the $800 million is a top line number. We don't do the detailed analysis of that until we get through the budget cycle. So that is just a kind of over-the-top number.
David Bernstein: And it includes...
Beth Roberts: But I would like to reiterate Howard's earlier comment that a lot of our R&M goes through operating expense, since we do heavy refurbishment when the ship is in service. That is a big percentage of ship operating costs.
Howard S. Frank: Yes.
David Bernstein: And as far as the $0.05 is concerned, it was simply our preliminary best guess of additional expense this year. We don't have the plan, as Howard mentioned, for the -- all of the ships. Once we have that, we'll have a much better idea what kind of P&L impact. But I think it's fair to say that the majority of what we expect to spend will be capital. And give us some time to put that together. And if we have something material, let's say, we will announce it once we get it.
Howard S. Frank: I mean, to some degree, if we're -- well, we accelerate dry dock work in order to get work done more quickly. In a way, it's just moving expense a little bit earlier and saving on it later on, because it'll be the timing of the dry dock. A dry dock on a ship that we might otherwise do in 2015, if we move it up to 2013, because it works in terms of the availability of the dock and the equipment we need, we'll just -- we won't have to do that dry dock in 2015. We'll have already done it in -- so there's a little bit of a movement of expenses and the timing of expenses that's going to happen in the next couple of years. And I think to try to give you a sense as to what's going to carry over from year-to-year, very difficult right now, which it's all very preliminary.
David Bernstein: And your question on the emerging market sourcing. Basically, looking outside of North America and Western Europe, the emerging markets are about 14% of our guest source. And overall, we're very pleased and it's doing very well around the world, all of those markets.
Operator: Our next question, coming from the line of Lena Thakkar with HSBC.
Lena Thakkar - HSBC, Research Division: I understand the comments around Costa. I just wanted to get a feel of, given everything that's been said on the $0.10 impact from the Triumph and some of the one-offs that you outlined at the previous set of results, should we be thinking of net cruise costs actually going down next year, all things being equal from here? Or is there anything else that we should be aware of going into the next financial year? And then just on the revenue guidance, I know you can't break it down by brand, but I wonder if you could tell us that your -- if your guidance still factors in positive yields in North America x Carnival.
Howard S. Frank: Well, the answer to the second question is yes, it does factor in all yields, positive and negative, for the brands. So yes, I mean, the revenue guidance has everything in it. In terms of costs going down in 2014, I think it's too early to say. I don't -- I think we -- as I mentioned before, we really need to get the plan in place to understand it better and the associated costs connected with the plan for all of the ship work we're going to be doing, and then we'll have a better sense as to when it's going to happen. But my guess is we're going to see costs like this occur because this work is going to be carried out mostly in 2013 and 2014. So I really don't see that aspect of our cost going down.
Lena Thakkar - HSBC, Research Division: Okay. Just to follow up on the yield question. I guess the question is more getting at have the recent issues caused an impact on just the Carnival brand, or all of the North American brands. So is this isolated to one brand? And therefore, does the guidance still assume yields up for everything else apart from Carnival and North America?
Howard S. Frank: Well, the -- we did see that what -- during the period of the incident itself and for a week or 2 thereafter, we saw a little bit of some of the other brands felt a little bit of a hiccup, I would call it, but not a major issue. And then it seems to have -- now things seem to be back on track. So then I hope that answers your question. But in terms of giving you specific guidance by brands, no, we're not prepared to do that. Thank you.
Operator: Our next question, coming from the line of Jaime Katz with Morningstar.
Jaime M. Katz - Morningstar Inc., Research Division: Can you guys talk a little bit about how you might change your kind of marketing message to comfort consumers maybe? And then also, I know you guys didn't offer any information on the immediate impact the week after the Triumph, but if you have any color on kind of the magnitude of impact on bookings, I know they've bounced back, that would be helpful.
Howard S. Frank: Look, I think from the standpoint of marketing, they are making some modifications to their messaging and communications right now. I think the issue of safety and -- onboard the ships is more -- is less of a marketing issue, but it's more of a communications and public relations issue. And clearly, we've got advisors who are working with us on the -- on putting out the positive messages about the actions we're going to be taking to strengthen these areas of the ships and to improve -- further enhance safety and so on. And I think those messages will be going out from Carnival Cruise Lines over the next couple of months.
Beth Roberts: But they are -- my understanding is they are conducting consumer research right now to try to address the messaging appropriately.
Micky M. Arison: Yes, I think what's important to understand is that -- is the millions of people who come off the ship happy is our best marketing source. And Carnival Cruise Lines has millions, literally millions of people coming off the ships every year very, very happy. And 2/3 of the people are repeat passengers who understand how safe and how comfortable the product is, and we expect them to continue to book. And the last few weeks have been great examples of how strong Carnival Cruise Lines brand is. The repeat passengers, particularly, understand when a good promotion is put in place, and they jump on it and have a lot of confidence in the brand. And clearly, we saw that in the last 2 weeks. And hopefully, once the dust settles here, we'll see it again.
Jaime M. Katz - Morningstar Inc., Research Division: And then any comment on that immediate impact like the week after the Triumph? Or do you not want to speak to that?
Micky M. Arison: Well, we clearly felt an impact on Carnival Cruise Lines, sure.
Jaime M. Katz - Morningstar Inc., Research Division: Right. Any magnitude that you'd like to offer?
Micky M. Arison: Not really.
Howard S. Frank: And I don't even know that. I don't even know where you got that particularly week and...
Micky M. Arison: Yes...
Howard S. Frank: It's all there in front of us. But, I mean, it was...
Micky M. Arison: I mean, it wasn't at all -- let me put it this way. It wasn't anything like we've had in the past, September 11 or other issues. We had nothing like that. It wasn't -- we didn't go negative, plus we didn't have lots of cancellations. Yes, okay. But we had a double-digit decline in bookings.
Howard S. Frank: Somebody signaled us it was double digit.
Micky M. Arison: We had a double-digit decline.
Howard S. Frank: That can go anywhere from...
Micky M. Arison: But it wasn't huge, and it didn't last very long.
Howard S. Frank: The remarkable thing is the resiliency of this brand, so that when -- it is amazing. So even with all of this negative media coverage, it still booked a lot of business. And it will continue to book a lot of business. I think people understand the value of a Carnival vacation, the great vacations they have, and that these things occasionally will happen. And so as Micky said, our repeat passengers are still booking a lot of business. So we're okay. I mean, it wasn't a dramatic -- if we told you the number, it will be a whole lot less than you think it is. But we -- we're not -- I don't have the number and probably wouldn't tell you if I had it. It's not that dramatic. And on the other brands, it's a marginal -- we just felt it on a very marginal basis, as is I -- my guess is rest of the cruise industry did.
Micky M. Arison: Just to give you a sense, the Triumph event affected 3,000 passengers, unfortunately. The Dream event, which was a couple of hours of outages -- outage, it was really -- I mean, on the Dream, everything's been operating fine. We had one closed public room toilet that got a huge amount of publicity. But last night, we had -- we brought in Jon Secada to do a concert for the passengers on the Dream. So that was 3,000 passengers. The Dream was 4,000 passengers on a base of 4.4 million passengers that Carnival Cruise Line carries. And they come back 98%, 99% very happy. So that -- I mean, that's what's going to drive the strength of the brand.
Howard S. Frank: Even on the Dream, the reports we're getting back is a lot people are just fine. It's just that -- they're just -- they're on the ship. They're in the port. All services are working. I think they're enjoying St. Maarten and will fly back today, tomorrow and the next day.
Micky M. Arison: There was a few hours of power outages in port on Wednesday evening. But by midnight, everything was back to normal and has been back to normal ever since.
Operator: Our next question, coming from the line of James Hardiman with Longbow Research.
James Hardiman - Longbow Research LLC: My first question, last year, following the Concordia issue, your vocalized strategy seemed to be to try as much as possible to hold price and basically weather the storm on the occupancy side. And whether or not that's exactly what happened, I think the rationale was solid with the hopes to isolate the pricing fallout to the one brand. I was hoping you could maybe could compare and contrast your strategy going forward this year, Concordia versus the Triumph and the subsequent incidents, pricing versus occupancy, as well as sort of general marketing.
Micky M. Arison: Well, when we made that statement, based on the publicity and the situation in Italy, and obviously that was a very tragic event, it was the belief that we couldn't fill the Costa ships, particularly from Italy, at any price. And so there was no point in doing price promotion. Here, as I said, with a price stimulus that is not significantly different than last year, Carnival Cruise Lines' bookings last week for the first 3 days was up 25%. So it's a totally different set of circumstances.
David Bernstein: And let me just explain further. We made that statement, I think it was early March of last year. During that period, Costa was doing consumer studies to understand how people felt about the brand and cruising. Ultimately, I think it was right around the end of March where it appeared that sentiment was changing. And Costa did then change their strategy, came up with a price promotion approach. And starting, I think it was early April, and throughout the rest of the year. By the time we got to the fourth quarter, Costa had essentially filled their ships. So early on, we followed and we held price, as Micky said. But later on, we adapted to the environment, and we filled the ships at lower prices.
James Hardiman - Longbow Research LLC: Great. And second somewhat related question, given your localized brand strategy, sort of big picture, how many of your customers do you think actually make the connection between the brand that they use and the umbrella Carnival brand? Obviously, you did a great job with Concordia last year, really isolating that fallout to Costa. Obviously, the Carnival line of ships is much bigger for starters, but is it going to be dramatically more difficult this year just given the brand associated with it, the various issues, and also the overarching company brand?
Howard S. Frank: I don't think so. I think that the consumer -- from a consumer standpoint, I think that they look at each brand as a brand. I don't think they connect the overall connection at the corporate level. So I'm sure there are some that do, but I think probably a very small percentage. But we haven't done any studies on it, to be honest with you.
Micky M. Arison: I mean, anecdotally, when I ask -- when people tell me they had a wonderful time and I ask them which ship they were on or what company, half the time they don't know.
Operator: Our next question, coming from the line of Assia Georgieva with Infiniti Research.
Assia Georgieva: My first question is what do you expect -- any impact to your new builds in terms of price or delivery date, if you do need to do redundancies on those as well?
Micky M. Arison: Now based on rule changes that occurred in 2010, all of this was already baked into the new builds.
Assia Georgieva: Okay, great. And my second question is given how many moving parts there are to the European booking picture, EAA brands x Costa and with Costa, could you give us a sense as to the level of bookings for Q3, given obviously the key quarter for Europe this year versus the same time last year. And this is with Costa, with everything.
Howard S. Frank: Yes, I haven't -- we haven't broken it down by quarter, Assia. I think that what I said is that the overall occupancies and pricing for the 9 months is really very consistent with what we're seeing quarter-by-quarter, especially for the third and fourth quarters. The second quarter, of course, occupancy has caught up significantly. But -- and -- but pricing is down a little bit in each of those quarters in Europe.
Operator: Our next question, coming from the line of Jamie Rollo with Morgan Stanley.
Jamie Rollo - Morgan Stanley, Research Division: The first question. It might be a hard one to answer because few of these get reported, I guess. But in a normal year, how many ship incidents do you normally have across the [ph] group, please?
Howard S. Frank: Let me -- I don't think that -- I don't think we know -- I don't think I know how to answer that question. But I will say this, that in -- over the last -- we've taken a look at ship incidents that have received some relative media attention, let's say, over the last 10 years for our group of companies versus all other ships, all other cruise lines in the world fleet. And the relative percentage of incidents for our cruise lines is almost the same, was right on point with the relative percentage of incidents of -- on other cruise lines. So there really is no difference. Unfortunately, for us, the run the last year or so, or since the Concordia incident, it has been a little bit higher. But if you go back beyond that, it was considerably lower. And by the way, these are the same people that have been running the same ships all these years. The ships haven't changed. So it's just -- sadly, we've just been hit by a run here that has been very unfortunate. And hopefully, we'll get some reprieve from this going forward. I don't know if that answers your question, Jamie, right on point, but I don't have the data.
Jamie Rollo - Morgan Stanley, Research Division: Okay. No, I understand. The other question was on the $0.05. I didn't fully understand exactly what that was. Was that your best estimates of the sort of revenue costs of the safety review? Or does it include any lost revenue from more time in dry dock? And I got the impression that number could go up a fair amount depending on the review. Is that correct?
David Bernstein: Well, it's a preliminary number. And it tried to cover, I'll say, lost profit if we have to move a ship into dry dock early, as well as any R&M -- additional R&M expense associated with the dry dock. It's a very preliminary number. It could move up or down. And if it's materially different, we would let you guys know. But at this point, it's our best guess.
Jamie Rollo - Morgan Stanley, Research Division: And just as an ancillary to that, if I may. Is there a figure you could possibly give us for what you spend on sort of safety spend or safety checks, whether it's dry docks, repairs and maintenance. What's the annual sort of budget for that, please?
Howard S. Frank: Well, I don't think we found that one.
David Bernstein: We -- I don't have all that detail with me, but there's millions and millions of dollars spent on those types of things as we go through, whether it be capital, R&M, work done in dry dock. And part of our payroll is associated with that. There's audits of the ships, routine maintenance, et cetera, all associated with safety.
Micky M. Arison: And simulators that we built and man [ph] in Holland and in Germany, the train crew on deck and engine, that's in our numbers as well. So -- and we don't...
Howard S. Frank: We don't isolate the number actually.
Micky M. Arison: [Indiscernible] you asking the question.
David Bernstein: Yes.
Operator: Our next question, coming from the line of James Hollins with Investec.
James Hollins - Investec Securities (UK), Research Division: Oh, yes, 2 questions for me. The first is on the strategy. I've heard a bit of sort of industry chatter around Asia, and I was just looking for an update that you could give on -- particularly for out of your Singapore office, what the sort of demand you're seeing out of Asia, whether I should be expecting sort of a more aggressive move of itinerary ships over to that market in the medium term or whether I should be waiting longer for that to happen. Then the second one was on commission and transport costs. Those costs per ALBD I have down at about 11% per ALBD in the quarter. I think they've been down 10% or 11% in Q3, Q4 last year as well. Is there something particularly going on there? Is this a level that can continue given, particularly, its size in your cost structure?
Howard S. Frank: James, let me -- this is Howard. Let me take the Asia strategy discussion that we have. We have added a -- Costa's added a second ship this spring to increase -- double the size of their ships in China or in Southeast Asia for the coming years. So that seems to be going quite well. The ships are profitable. The business is good. The pricing is good. And we're very encouraged. In addition, Princess has announced additional capacity to go into the Japanese part -- market. They have one ship going, that's starting to sail, I think, in late April in Japan, that -- and then -- for, I think, a 90-day period. That has done very well. So they're adding a -- they've announced the addition of a second ship to Japan the following year. And we continue to work on the Asia strategy, and it's likely that you'll see some continued increase in capacity in Asia for us in years beyond that. So we're very encouraged by what we see. We think it's a -- it seems to have rooted -- starting to take real roots. The message that cruising is a good vacation alternative for the Chinese and other Asians is coming across. We've spent a lot of time in the Asian markets and talking at different conferences and so on. We're getting a lot of support from all the Asian governments. They've all been supportive of us coming in. And not just us, our competitors as well. So we think it's a very viable end market for us in the future. I'm going to let David talk about the commission and transportation.
David Bernstein: Yes. Yes, the line you're looking at in the P&L, keep in mind it's not only commission but also transportation, which is primarily our air costs associated with our air-sea guests, as well as a few other things. We have continued to see a tickdown in our air-sea mix. And as a result of that, there's less air costs. Less guests are buying air from us overall. That affects the number. And the other thing that has affected the number, particularly in the last 3 quarters that you mentioned, has to do with the change that we had announced in the U.K. commission structure. So those were the -- for first quarter 2013, those were the 2 drivers that brought that number down.
James Hollins - Investec Securities (UK), Research Division: Okay. And can you give us any guidance on what it might be down? Obviously, it depends on what level of air-sea passengers you have or what level it might be down. I assume down for full year '13 as a whole per ALBD.
David Bernstein: Yes. We don't forecast that because -- well, the way we look at it is we forecast on a net basis. So the yield guidance we gave you is the revenue net of the transportation and commission costs. And so we've looked at it at that level.
James Hollins - Investec Securities (UK), Research Division: Okay, I was just trying to get to sort of how aggressively sort of negative you've been on gross yield given that's coming down. But it sounds like you won't be giving me that.
David Bernstein: Yes.
Micky M. Arison: It's baked into the yields. So it really doesn't matter.
David Bernstein: It's pretty consistent. There aren't any great movements between gross and net yields as the way we describe them.
Operator: Mr. Frank, there are no further questions at this time. I will now turn the call back to you.
Howard S. Frank: Okay. Well, I think we can conclude the call right now. And I think if there any follow-on questions, Beth Roberts is around to handle them this afternoon. And thank you all for listening in. Apologies again for the short notice. We'll try to give you more notice for the next call. Thanks, everybody, and have a good day.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Have a great day.